Operator: Good morning and welcome to the Monmouth Real Estate Investment Corporation's Fourth Quarter and Fiscal Year-End 2020 Earnings Conference Call. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. It is now my pleasure to introduce your host, Ms. Becky Coleridge, Vice President of Investor Relations. Thank you. Ms. Coleridge, you may begin.
Becky Coleridge: Thank you very much, operator. In addition to the 10-K that we filed with the SEC yesterday, we have filed an unaudited annual and fourth quarter supplemental information presentation. This supplemental information presentation along with our 10-K are available on the company's website at www.mreic.reit. I would like to remind everyone that certain statements made during this conference call, which are not historical facts may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements that we make on this call are based on our current expectations and involve various risks and uncertainties. Although, the company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the company can provide no assurance that its expectations will be achieved. The risks and uncertainties that could cause actual results to differ materially from expectations are detailed in the company's annual 2020 earnings release and filings with the Securities and Exchange Commission. The company disclaims any obligation to update its forward-looking statements. I would now like to introduce management with us today: Eugene Landy, Chairman; Michael Landy, President and Chief Executive Officer; Kevin Miller, Chief Financial Officer; and Richard Molke, Vice President of Asset Management. It is now my pleasure to turn the call over to Monmouth's President and Chief Executive Officer, Michael Landy.
Michael Landy: Thanks, Becky. Good morning, everyone, and thank you for joining us. We are pleased to report our results for the fiscal year ended September 30. Fiscal 2020 was a successful year for Monmouth. During the year, we acquired five brand new, highly automated Class A built-to-suit industrial properties containing 1.2 million square feet for a total cost of $175.1 million. In keeping with our business model, all five properties are leased long-term to investment-grade tenants. These acquisitions will generate annualized rental revenue of $10.9 million and have a weighted average lease term of 13.9 years. During the fourth quarter, we acquired one property for $15.2 million, consisting of a newly constructed 121,000 square foot distribution center. This distribution center is situated on 22 acres in Oklahoma City, Oklahoma and is leased to Amazon for 10 years. This 22-acre site has ample expansion capacity and is ideally located immediately north of the Will Rogers World Airport.
Richard Molke: Thanks, Mike. With respect to our total property portfolio, our occupancy rate stood at 99.4% at year-end, representing a 50 basis point increase from a year ago and unchanged sequentially. Subsequent to fiscal year end, we entered into a lease termination agreement with Cardinal Health for a 75,000 square feet facility located in the Albany, New York, MSA. We received a termination fee of $377,000, which represented approximately 50% of the then remaining rent due under the lease, which was due to expire in November 2021. We simultaneously entered into a new 10.4-year lease agreement with United Parcel Service effective November 1, 2020.
Kevin Miller: Thank you, Rich. I will start off by discussing some of our key financial indicators for the fourth quarter and then move into some of our key financial indicators for the full fiscal year. Funds from operations or FFO, which excludes unrealized securities gains or losses for the three months ended September 30, 2020 were $19.2 million or $0.20 per diluted share, as compared to $20.3 million or $0.21 per diluted share for the same period a year ago, representing a decrease in FFO per share of $0.01. Adjusted funds from operations or AFFO were $18.2 million or $0.19 per diluted share for the recent quarter, as compared to $20.1 million or $0.21 per diluted share a year ago, representing a decrease in AFFO per share of $0.02. We expect the combination of our $338.4 million acquisition pipeline and our several ongoing parking expansions to positively contribute to our per share earnings and cash flow going forward. Rental and reimbursement revenues for the quarter were $42.6 million compared to $39.7 million or an increase of 7.5% from the prior year. Net operating income increased $2.4 million to $36 million for the quarter, reflecting a 7.2% increase from the comparable period a year ago. This increase was due to the additional income related to the five properties purchased during fiscal 2020 and the three properties purchased on fiscal 2019. As mentioned earlier, during the quarter, we acquired one brand new property leased to Amazon for 10 years containing 121,000 square feet for $15.2 million. Same property NOI for the three months ended September 30, 2020 remained relatively unchanged with a slight decrease of 0.3% on a GAAP basis and a slight increase of 0.3% on a cash basis. Net loss attributable to common shareholders was $3.9 million for the quarter, as compared to net income attributable to common shareholders of $22.7 million in the previous year, representing a $26.6 million decrease. This decrease in our net loss attributable to common shareholders was mostly due to an accounting rule change in which, unrealized gains and losses on our securities investments are now reflected on our income statement. Prior to the adoption of this accounting rule change, unrealized gains and losses reflected as a change in shareholders' equity. Excluding the effect of this accounting rule change related to the $10.3 million in unrealized losses on our securities portfolio during our fourth quarter, net income attributable to common shareholders would have been $6.4 million for the current quarter compared to $8.7 million for the prior year quarter, representing a 26.9% decrease.
Michael Landy: Thanks, Kevin. Just to reiterate some key points. We have a substantial 2.4 million square foot acquisition pipeline in place with two large deal scheduled to close very soon. These acquisitions will help drive our performance going forward. We also have a sizable and growing amount of expansion projects taking place with our largest tenant, FedEx in order to accommodate the rapid growth in e-commerce. We have strengthened our already strong balance sheet and have ample capital to fund our future growth. Our resilient occupancy, tenant retention and rent collection results during these challenging times, highlights the mission critical nature of our portfolio and underscores the essential need for our tenants' operations. Lastly, as illustrated on slide 10 of our investor presentation, which can be found on our website, our annual dividend yield as a multiple, the yield on the 10 year treasury note is now at historic highs of over 7 times. Normally, this multiple is approximately 2.5 times. Achieving over 7 years of income from the T note in one year of dividend income from our common stock, represents compelling relative value. High-quality real estate also provides inflation protection, while fixed income debt instruments do not. The strong financial position of our tenants, together with the long duration of our leases has provided for a high-quality, reliable income streams throughout many business cycles. Our dividend was maintained throughout the global financial crisis, and it has increased by 13% since then. As a 53-year-old public REIT, our resilience is self-evident. We would now be happy to take your questions.
Operator: We will now begin the question-and-answer session.  The first question comes from Rob Stevenson of Janney. Please go ahead.
Rob Stevenson: Good morning, guys. It fitted a little bit when you guys were talking about the timing of the Cardinal Health move-out and the UPS move-in. What is -- my understanding that Cardinal Health is now out that 377,000 termination fee was in the fiscal fourth quarter, you're going to have some vacancy for the next three months and then essentially UPS moves in at the beginning of the year or so, your second fiscal quarter, is that the way to be thinking about this?
Richard Molke: Yes. Hi Rob, so yes -- so, it was the -- the lease termination for Cardinal Health was effective October 1. So that -- that termination fee has to be recognized in our fiscal first quarter. So, it will be October fee. So it's -- it's not reflected in our earnings that -- that we just posted. And then the new tenant UPS, their lease is effective November 1. So, there is one month, where I guess, there is no rent. But -- but the lease termination fee more than makes up for that.
Rob Stevenson: Okay. And essentially there is, at that point, I mean, on almost 100 million shares, it's not a meaningful impact to first quarter FFO. Okay, great. And then Kevin, while I've got you then on a question for you with the various dividend cuts, now reinstatements and then the UMH preferred call et cetera, what's the current securities portfolio quarterly run rate. I mean it was like 1.46 for the fourth quarter, but that included some -- some stocks that weren't paying a dividend, they are now, I think, paying a dividend, some that would cut, some that are no longer around, how should we be thinking about the run rate of the securities portfolio on a quarterly or annual basis now?
Kevin Miller: Yes. I'll take that one. Quarterly run rates, 1.4 million per quarter, 5.6 million annually and that's net of UMH redeeming their preferred.
Rob Stevenson: Okay, 1.4 a quarter. All right. And then Mike, the 3.2 years on recent renewals seem short even if tenants just exercise five-year options. Do you have guys that are just kicking -- trying to kick the can out 12 months, 18 months, while they build something else and move-in, is that a FedEx type of situation there that you normally wind up seeing. How would you characterize some of these lease renewals and the sort of term on them?
Michael Landy: Well, broad picture, our WAULT was 7.2 years a year ago, at 7.1 now, but it's really pro forma much more than 7.1. We have a portfolio that's about 15% of our size and the portfolio is going to -- has a WAULT of 15.3 years. So some of those acquisitions are 20 year leases and many are 15. So as we close on our acquisition pipeline, the WAULT will increase. We have 17 parking expansions and that number is going to grow. It's hard to say what the total FedEx parking expansions will plateau at, but it will definitely be more than the 17 going on right now. So, each one of those extensively -- so those are the drivers of the WAULT being much longer than the 7.1 years. So -- and then as far as the renewals, Rich, specifically, our renewal weighted average lease term was 3.2 years what was driving that?
Richard Molke: So, we had two tenants that did –do two-year renewals just kind of kicking the can down the road. The others for the rest of the year, I don't anticipate many coming back under five years. So that's -- that -- those two kind of stand out as the short terms for this fiscal year.
Rob Stevenson: And I mean, where are those two that are only two-year leases, where are they in terms of utilization of their space, so are they now growing their space and are likely to need something bigger built, whether or not it's something that you guys would own in the future or somebody else. Are they -- are they in areas that aren't -- that are part of the weaker parts of the economy, how do you characterize that?
Richard Molke: No, I'd say. But -- both of those buildings are strong buildings, and those tenants, you never know, they could -- in two years, a lot can happen. So, I wouldn't read too much into those two-year renewals.
Rob Stevenson: Okay. Thanks, guys. I appreciate it.
Michael Landy: Thank you.
Operator: The next question comes from Frank Lee of BMO. Please go ahead.
Frank Lee: Hi. Good morning, everyone. Just wanted to touch on the parking expansion projects. How are these projects typically sourced or identified? Are you proactively approaching FedEx, and are there opportunities for a similar type of parking expansions that you're actively working on beyond FedEx?
Michael Landy: Well, first of all, our portfolio average building age is under 10 years, and our FedEx portfolio, which roughly represents half of our 24 million square foot portfolio is even younger, and these are digital buildings. They are built to specifically serve the digital economy, and therefore they have much more land than what we'll call the old analog wholesale-type distribution buildings that just took racks and forklifts for the extent of a technology because they serve the brick and mortar retail distribution supply chain. Now, we're doing home delivery, omnichannel distribution, and so the -- the pandemic created a parabolic shift in the amount of goods moving online. It was already growing at a 15% CAGR. Now it's growing at 30%. We're heading peak season, and FedEx, UPS, Amazon they can't even deliver all the goods needed for the holiday season. So we're -- As to the capacity of shipments, the US can ship 80 million packages a day, and demand is over 90 million packages for the holiday season. So, FedEx is ramping up the van parkings to do increased home delivery at 18 properties of ours, which is 15% of our portfolio is now undergoing parking expansions. And like I said, that number is going to increase. So -- so the driver is the tenant. The inordinate demand for the tenant, the ability for the tenant to try to serve the digital economy, and the fact that our assets have ample land where we could expand. In the cases, where -- where land is constrained, we'll preemptively go out and purchase land that's contiguous to our properties because we've done many property expansions for our tenants over the years. And you never know when the expansion requests are going to come in, and there was a big period of expansions, where we did about 80 million expansion in two years about -- about four or five years ago, and then it was quiet, and now they're coming in over the transom.
Richard Molke: And I'll just add one thing to that for our new UPS lease, we -- they have already approached us on expanding their parking too. So it's just a case in point for home delivery, how much parking these -- these tenants need.
Frank Lee: Okay, great. And then you mentioned the vacant Hartford property, is this property is still being marketed for sale. So how is activity so far. And are there any other potential sale candidate -- candidates within your portfolio?
Michael Landy: That one is most likely not going to be sold. There is -- it's out for signature with an investment-grade tenant. And we're hopeful, we'll have good news on that front soon.
Frank Lee: Okay, great. And then, last one for me. Mike, you mentioned kind of two larger acquisitions are expect to close in the near term. Are you able to provide a breakdown by quarter on when you expect the rest -- the rest of the acquisition in the pipeline to close over the next year?
Michael Landy: Sure, Frank. Our two largest deals, which is FedEx in Columbus and Home Depot in Atlanta representing about 50% of our $338.4 million pipeline are supposed to close before the end of the calendar year. So that's 50% of the pipeline, right. They are closing in December ideally. And that's $10 million in revenue and that will really move the needle of earnings and put us in a really good position with regards to our AFFO dividend payout ratio. So we're looking forward to announcements, as those deals close. Then the other 15% nothing slated for the second quarter about 16% and this is in dollar volume is supposed to close in Q3, and then 19% in Q4, and then the remaining 50% sometime in the first half of fiscal '22.
Frank Lee: Okay, great. Thank you.
Michael Landy: You're welcome.
Operator: The next question comes from Gaurav Mehta of National Securities. Please go ahead.
Gaurav Mehta: So you guys have secured financing for three of the six acquisitions. Maybe comment on what your expectation is for the remainder of the financing. Are you expecting to use the Preferred Stock ATM to fund the remainder?
Michael Landy: Okay. Kevin, it's hard to hear you Gaurav, but I think, I got it. Did you get that Kevin?
Kevin Miller: Yes. I think he is asking how that we've locked in financing on some of the deals in the pipeline and he wanted some color on that?
Gaurav Mehta: And about -- on the remaining three, you've locked in three, and how do you plan to finance the other three?
Kevin Miller: Okay. Yes. So -- just so -- so everybody knows that we've locked in three of the six deals in the pipeline, and we've locked it in with a long-term mortgage rate debt. The three deals have a weighted average maturity of 15.8 years, weighted average interest rate of slightly under 3%, 2.99% with about 62% LTV. And for the remaining three deals, we expect to just continue that -- that way. That's the way we've always funded our pipeline and that's the way -- that's just the method that works for us. These are all fully amortizing loans. We match our -- we match the lease term with the debt term matching our revenue with our expenses and our debt maturities and that's just the way we do it. And the remaining other 30% -- 35% that's not funded with long-term debt. We have many sources of capital. We could be -- we could use the ATM. We could raise money through the DRIP. We have a common ATM. We have a fully -- we have a line of credit of that's not drawn down at all. So we have the full capacity on that. So yes, just several different ways.
Michael Landy: Yes. And what Monmouth does, these are Monmouth deals. They are long-term leases to investment-grade tenants. They are brand new built-to-suit automated digital buildings for the digital economy. So that the financing terms that we've been successfully executing on the three deals, thus far in the pipeline will be similar. It will be the same lenders. It will be similar terms, and it's easy to model.
Gaurav Mehta: Okay. Second question, I was hoping if you could provide some color on what you guys are seeing in the acquisition market outside of the six properties that you have under contract. Maybe some comments on the product flow and the cap rates that you're seeing?
Michael Landy: Well, it's really competitive out there, as it's been. And the lanes, as I said last quarter have narrowed and all the capital earmarked for commercial real estate wants exposure to our sector. It's an unquestionably the hottest sector. And so you see specs being formed, and I'm told there is specs and specs . So there is a lot of capital out there now. As a 53-year old company, we have relationships with the merchant builder community. And I'm very pleased, we are able to increase our pipeline over the quarter substantially with quality deals and that's all we focus on. So we're not going to grow for growth sake. But I think I'm confident we'll be able to continue to land the type of deals that we've built this portfolio, one high-quality acquisition at the time and the people we've done transactions with or have been partners for decades, and so they come to us with deals, and are -- from a FedEx and Amazon standpoint, the prospects -- future prospects have never been better. They are record revenue, record shipments, and they need more distribution centers, more fulfillment centers and the same could be said for some of our other relationships. So it's competitive, and we're going to have to keep bidding ever decreasing cap rates. But it's still accretive and the lending rates have come down, so the spreads remain good, but more people are embracing exactly what we do. And some of our other new entrants into the sector, their PowerPoint presentations look like they were cut and paste right from ours. So we take that as a compliment, but it's definitely getting crowded out there.
Gaurav Mehta: Okay. Thank you.
Operator: Our next question comes from Michael Carroll of RBC Capital Markets. Please go ahead.
Michael Carroll: Yes. And I'm sorry, I'm not sure if you guys mentioned this or not, but can we talk a little bit about the Cardinal lease and the UPS lease. It seems like Cardinal was paying about $7  a square foot previously. Did you say what UPS plans on paying. And if so, is there any other capital costs related to that new lease with UPS coming in?
Richard Molke: So that on a GAAP and a cash basis went down, but we did pick up 9.3 years of additional term with an investment-grade tenant. So that's a win for us. And yes, like I said, they do want to do a parking expansion and that will be on our normal terms on how we do all of our parking expansions. So you can -- rents are going to increase at that location.
Michael Carroll: Okay. So how much did rents drop?
Michael Landy: There will be a return to capital for that investment above and beyond the figures, Rich, just gave you.
Richard Molke: Also if you factor .
Michael Carroll: Okay. So what was…
Richard Molke: Yes. As you can say if you factor in the lease termination fee to it, then it's -- it is slightly positive on a GAAP basis.
Michael Carroll: Yes. So where -- where is the new rent for the UPS leases versus the Cardinal rent, the 7.23  in the sup, is that a GAAP rate or is that a cash rate?
Richard Molke: That's a GAAP rate.
Michael Carroll: And then, what's the new GAAP rate for UPS?
Michael Landy: The new what?
Richard Molke: GAAP rate for UPS.
Michael Landy: That's the 7.21  on a GAAP basis.
Michael Carroll: Okay. And then there is no other TIs or LTEs related to that. The only other capital cost that you have the parking lot, which you're going to get was it -- like is it a 10% yield on those?
Michael Landy: We haven't structured that yet. There will hopefully be a 10% return and an additional lease term, but that's -- and again to be confident.
Michael Carroll: Okay. So is there any other TIs or LTEs outside of that parking lot?
Michael Landy: We had to put in new lights for them. There was a few just tenant improvements that we did. But those were with rebates and pretty light on the TIs.
Michael Carroll: Okay. And then Mike, can you talk a little bit about the acquisition cap rates, I guess, with the new competition coming in. I know you've been able to complete some deals in the low six cap range. I mean, should we expect those cap rates to drift below six over the next 12 plus months or so, given the competition for industrial product?
Michael Landy: No question. No question. I am not bidding 6s  on anything these days and in some cases south of 5. But the next deal, we're going to close is a FedEx ground in Columbus, and we can do agreement on that deal over two years ago. So we lock that in before a lot of this continued cap rate compression and -- and that's a healthy cap rate north of 6. So -- but -- supply and demand and demand is great for industrial assets and cap rates have continued to come down. So hopefully, our pipeline average cap rate will be in the mid-5s. It's currently 5.96. And next time we speak, it will drift lower. It's just a question of how much lower. And the important thing is, interest rates continue to come down. So the spreads are there, and it's still very accretive for our common shareholders on a per share level for us to close these deals. And then, with these tenants; like I said, suddenly FedEx has so many expansions, which will be lucrative returns and take our WAULT much higher than the 7.1 years, we're showing you. And it's just a very healthy business model that smooths out the rough economic cycles because there is a lot of distress and dire circumstances going on out there, and I don't know anybody else is talking about 15% of their portfolio being expanded currently.
Kevin Miller: If I may add something, as everyone is interested in cap rates and returns for the last quarter, and I keep looking ahead is seven years from now, these -- would these leases will be renewed, seven years from now you're going to have different value of the dollar, you may have considerable inflation, and the actual return on our leverage investment maybe substantially more than you have figuring on these calculations you're making now. So, the reason I'm not sure about the cap rates are going down, as Michael pointed out, the spreads are still there. But I think your real return is much greater than anyone figures because with the deficits we have, with the need -- needs for low interest rates for the foreseeable future, I think inflation is on the horizon. And the total return, we're going to get from these investments is substantially more than the numbers that we're talking about. Thank you.
Michael Carroll: Okay. And then Mike, I just wanted to touch on, you said that you're bidding on some deals sub-5. Can you talk about those deals, are those transactions that you're looking at completing and would you be willing to go that well?
Michael Landy: I would, if the lease term was long enough and the escalations -- I'm talking about the going in year one cap rate. And if it's a long lease with healthy bumps, the average cap rate will be substantially higher than that. So yes, that's what it takes to win a quality asset with the quality tenant. And I'm confident we could get financing well inside of 200 basis points below that. I will try to win those deals.
Michael Carroll: And then, what type of bumps would you look at -- get onto that 5%-cap. If you have go after some with the 5%-cap, what type of bumps would be -- you consider healthy?
Michael Landy: Well, 2% is the average these days, and Rich did Amazon renewal with 3% bumps for 10 years; so 3% is better than 2%. In some cases, they are slightly under 2%, but it's not meaningfully under 2%. Kevin, do you want to add something?
Kevin Miller: Yes. I just wanted to add something earlier when I was talking about the deals we've locked in with the weighted average interest rate of 2.99% it's a -- some of those deals were locked in a long time ago before interest rates dropped. So they range between 3.25% down to 2.6%. So the 2.6% is the latest one. So I feel confident that we'll be getting sub-3%, in that 2.6% range going forward. So that will help with the drop in cap rate, as Mike mentioned, the drop in interest rate as well.
Michael Carroll: Okay. And then, can you guys talk a little bit about your leverage metrics right now. I know you talked about the LTVs on the secured financing on the upcoming deals, but what are you going to -- how are you going to fund the rest of it. Are you willing to issue equity at these levels or should we continue to expect more preferred equity and leverage to continue to creep higher?
Michael Landy: Well, at year end, we had $472 million in our Series C preferred, and there has been really strong demand for our Preferred ATM. I think we did another $35 million subsequent to year-end. So it's about $507 million currently outstanding and the call protection on that is another 10 months. So that tells me that investors on a new preferred issue would be substantially lower than our Series C 6.125% . Our Series C was issued to redeem high coupon preferred that we had on our balance sheet in the high-7s. And so as we get closer to the maturity date of the Series C, we ideally would do a new issue and have some financial savings, I -- it's a big issue. There is $500 million outstanding and probably by that time even more because the answer is yes, we'll use preferred to fund the pipeline. And then, we'll start taking it down in -- in about $100 million tranches with lower cost of capital. With the securities portfolio is yielding about 4.5% currently, it's up about 20% since fiscal year end, it's about $130 million in value. So that would be logical candidate to use that capital to take out some of the preferred. So, those are the plans as far as issuing common equity not at these prices. NAV is well north of where we're currently trading. And so while we've had a common ATM up and running since for two years now, we haven't issued a single shares and nor do we -- nor do we intend to at these levels.
Michael Carroll: Okay. And then just real quick on, I guess, on that securities book, are you planning on selling any securities here in the near term. I guess, what would make you sell that? And what's the timing on that?
Richard Molke: Well, it's improved dramatically just on the vaccine news and as COVID becomes something in our rear view mirror, I'm sure it will be even more valuable. One of our largest holdings is in UMH, manufactured housing and industrial are the only two property types have appreciated in value post-COVID. So I'd be hesitant to sell the UMH. But yes, we certainly would harvest gains in some of our holdings. But I think as we get closer to the redemption date of the preferred that will be the -- more of a catalyst than doing anything at this particular moment.
Michael Carroll: Okay, great. Thanks.
Operator: The next question comes from Fred  of Boston University. Please go ahead.
Unidentified Analyst: Hi, thank you, and congratulations again on -- on outstanding performance. My question is going to follow the last question, but I was wondering long term, where do you sort of see that securities portfolio because you -- we're using the cash to buy these securities, whether you like Warren Buffett was telling the crazy mark to market is kind of a crazy thing, but you have to do that. So I got the feeling that you were going to kind of over time sort of reduce that just so you don't have these sort of adjustments to the quarter. So where is that going long-term?
Michael Landy: Okay. I'm going to turn over to Gene because REITs investing in other REITs is Gene Landy's brainchild. I do agree that new accounting has definitely made it problematic, and we haven't bought any REIT securities in going on two years. So we haven't been allocating capital. The securities portfolio we've been winding it down slowly. It used to be 10% of gross assets. It's now rounding up 5% of gross assets. But Gene, please answer this question in more detail.
Eugene Landy: You have to understand that the balance sheet, we have has been planned and has worked out very well over many decades that we've maintained liquidity -- and liquidity at all cost. And the liquidity we have now is -- we have about $119 million in securities that I can pick up the phone, I can borrow $50 million tomorrow at 1%. I can sell the securities. I have that liquidity. The other thing you have to understand that it's part of the overall financial plan for the company. The beauty of what's happening is, we are paying down these mortgages, the amortizing mortgages over 10 years, 15 years, and we've been around for 50 years. And as the officers announced to you that we're renewing -- renewing the leases, then the leases have been renewed and the mortgages are down and balance, so that we have a substantial number of properties being clear. But the properties that we have mortgage, I believe, we gave an example, we paid off a few million dollars and freed up $12 million in properties. Well, the big numbers are, we're going to pay off the $50 million and free up $150 million in properties. And those $150 million in properties, if they have leases on them with credit tenants we can borrow against them $100 million. Now, you have to picture the amount of liquidity we're going to have. So I hear some questions that when we have this pipeline of $300 million, $400 million people are worried where we're going to get the money. Well, we worried about that in advance and we have the money, and we are very liquid. And one of the things we have -- put the securities program in for is the liquidity. And I have always wanted to have two, three, four sources of liquidity; we have lines we haven't used, we have securities, we have ATMs. But even for me, we seem to have ample liquidity right now. And if we have $50 million or $60 million in mortgages amortizing that will free up $150 million in assets, which will free up $100 million in credit, I have no objection to selling some of the securities and paying down those mortgages and actually generating $100 million in cash, which the next year you might use to redeem some of the preferred. And so -- and the amounts involved, we have a capital stack close to $500 million at 6.125% . And if you can save two points or three points in refinancing it, you're talking about a lot of money, you're talking about $10 million, $15 million. So we think the capital stock -- capital stack will eventually be refinanced and the mortgages will be refinanced and it will -- as long as these leases are big, and we do it and the basic economy is going well, this company is going to do very, very well.
Unidentified Analyst: Okay, thank you. Excellent response. Appreciate it.
Michael Landy: You're welcome.
Operator: The next question comes from Mike Mueller of JPMorgan. Please go ahead.
Mike Mueller: Just a quick one. I was wondering, can you talk about the remaining six 2021 expirations and just what you're expecting there in terms of timing to knock those out. And what you think spreads could look like?
Michael Landy: Sure, sure. So all of those are in discussion now. Some of them are further along than others. And I would expect that all of our metrics will go up from our WAULT to our GAAP and our cash spread. So that's kind of what it's looking like now. Three of the big ones are back half weighted to the end of this year. So timing wise, hopefully in the next two quarters, we have most of those locked in.
Richard Molke: I'll just add something, and I know Kevin wants to get in on this as well. Historically, we've had 90% tenant retention and that's important because they are credit tenants and you want to keep the cash flow secured by investment-grade tenants. And last year, we had 87% tenant retention, and I know, Rich is shooting for 100% tenant retention this year. And we've had no known move-outs and the tenants make big investments in the buildings. So it's not easy for them to move once they have made tens of millions of dollars in automation inside of these buildings. We're working on a new annual report, and we're featuring a lot of the infrastructure inside of the buildings, so you could see that even though industrial is one big bucket of everything, there's really digital assets that are so different than the analog assets, and we'll be illustrating that point in our new annual report. It comes out in a couple of months. Kevin, what did you want to say?
Kevin Miller: I just wanted to ask Rich, I think something came in this morning actually so there was four got renewed in our K and one came in this morning.
Richard Molke: Yes. This morning we did have one of our FedEx leases renewed for five years. So that's another one out, a small one, but positive spreads.
Mike Mueller: Got it. Okay, thank you.
Operator: The next question comes from Craig Kucera of B. Riley FBR. Please go ahead.
Craig Kucera: Hey, good morning, guys. I know you mentioned that you had 6 expansions currently in progress and maybe an additional 10 you might announce. If those move forward, would you expect those to be completed inside of 12 months or they -- can they be negotiated in -- in to a longer-term?
Michael Landy: Yes. So I'm going to have Rich answer that, but it's very fluid. So we have 6 ongoing, 1 completed and the 10 became 11. So it's very fluid. And like I said, it's going to be more. We don't know what the total number is going to be. But this is going to be a multiyear process.
Richard Molke: Yes. Mike, you pretty much hit it. I mean this -- we got to take down land in some instances and those approvals and that time frame to do it, but FedEx needs this yesterday. So they are moving as fast as they can and so are we. So hopefully next year, we get a bunch of them done.
Michael Landy: But peak season is extraordinary. FedEx distribution center will go from 50 employees to 550, and all construction will come to a standstill from October to mid-January and then start up again. And ideally, they will have additional parking capacity for next peak season, but some will go into the following year, and it will just be a multiyear process as I said.
Craig Kucera: Got it. And Mike you tripled the size of the company over the last seven years, and you've got nearly $340 million in your acquisition pipeline. Just given the growth of the company and the long-term relationships you have with a lot of your tenants, do you ever consider bringing more of a development component in-house?
Michael Landy: There is pros and cons to that you know, and we know some great developers that would love to fit that bill. But the problem is, you have to bank land and that's non-income producing. And when it comes to bidding on the RFPs that are out there for these digital buildings on long-term leases to investment-grade tenants, it's a multistage process. And if we have in-house development capacity, we're competing against our legacy merchant builders. And we feel for a company our size, the better mousetrap is to have multiple relationships with the merchant builder community. That's exactly why we were able to triple the size of the company. And if we had in-house development, the growth would have been much slower.
Craig Kucera: Okay, thanks.
Michael Landy: You're welcome.
Operator: The next question comes from Barry Oxford of D. A. Davidson. Please go ahead.
Barry Oxford: Hey, Mike. Quick question on the securities portfolio, would you entertain maybe switching out some of the securities to get into some more stable dividends that wouldn't be up for being cut?
Michael Landy: So you're talking about just reallocating…
Barry Oxford: Yes.
Michael Landy: Liquid real estate into…
Barry Oxford: Right, reallocation. Correct.
Michael Landy: Yes. We were thinking about rotating into preferred out of the common when the preferred market sold off and really we're just waiting for things to come back to -- to fair value. It's been guesstimated the market is very short term oriented, just take Monmouth, for instance. I know some institutions came in and took very big positions in March only to sell in the summer months, and that's how people invest. It's really trading. It's not investing. And so we're the opposite. We're long-term investors. We have our holdings. They have gone up and down, mostly down of late. And we're just going to hold them until we get to a post pandemic environment and then rotate out of the securities portfolio for all the reasons we've stated. As far as moving from one instrument to another, I'm not precluding that, but -- but it's not going to be a very active situation if at all.
Barry Oxford: Okay. And then just kind of switching gears a little bit, how much would you let the preferred become part of your capital stack?
Michael Landy: We've said, we'll take it as high as 25%. I think it's 16% currently, and getting back to that theme of being long-term investors. We like long-term leases on the asset side, and on the balance sheet side, we like long-term debt maturities. We have the longest debt maturity schedule in the REIT sector with over 11 years. And then we have a big tranche about 16% of our capital structure is in perpetual, permanent capital that never comes due.. So we'll always have big tranches of preferred, but it won't necessarily all be in 6.125% Series C. We're in a very low interest rate environment. I think there is $17 trillion  in debt instruments yielding less than zero. And like I said, the orders from our ATM on our Series C are very strong. So we'll probably do a new issue at some point at a lower cost of capital. But -- but we are big believers in permanent preferred equity even though it's relatively expensive compared to short-term capital for all the reasons Gene said about remaining liquid, you never have refinancing risk. And if you look at the long 5,000 year history of interest rates, people never even contemplated negative interest rate. So I know public storage, it is the big component. And then the first REIT to ever issue perpetual preferred, and their first issue was at 10% and now they are setting record lows, not just in the REIT industry, but for the whole preferred market with sub 4% permanent capital. So our initial preferred were 7.75% and now 6.125%  and that evolution will continue at an ever decreasing cost, as the company gets bigger and we continue to grow.
Barry Oxford: Perfect. I appreciate the color, Mike.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Becky Coleridge for any closing remarks.
Becky Coleridge: Thank you, operator. I'd like to thank the participants on this call for their continued support and interest in our company. As always we are available for any follow-up questions. On behalf of Monmouth, I'd like to wish everyone a healthy and happy holiday season and a very prosperous New Year. We look forward to reporting back to you after our first quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. The teleconference replay will be available shortly after the call ends. To access this replay, please dial US toll free 877-344-7529 or international toll 1-412-317-0088. The conference ID number is 10147191. Thank you, and please disconnect your lines.